Operator: Good afternoon, everyone. Welcome to the SGH Fourth Quarter Fiscal 2022 Earnings Call. My name is Dante, and I'll be your operator for today's call. [Operator Instructions]. 
 I would now like to pass the conference over to our host, Ms. Suzanne Schmidt. Ms. Schmidt? 
Suzanne Schmidt: Thank you, operator. Good afternoon and thank you for joining us on today's earnings conference call and webcast to discuss SGH's fourth quarter and full year fiscal 2022 results. On the call today are Mark Adams, Chief Executive Officer; Jack Pacheco, Chief Operating Officer; and Ken Rizvi, Chief Financial Officer. 
 You can find the accompanying slide presentation and press release for this call on the Investor Relations section of our website. We encourage you to go to the site throughout the quarter for the most current information on the company. 
 I would also like to remind everyone to read the use of forward-looking statements note that is included in the press release and the earnings call presentation. Please note that certain of the statements made today may constitute forward-looking statements and that these statements are the company's present expectations and that actual events or results may differ materially. 
 We will also discuss both GAAP and non-GAAP financial measures. Non-GAAP measures should not be considered in isolation from, as a substitute for or superior to our GAAP results. We encourage you to consider all measures when analyzing our performance. A reconciliation of the GAAP to non-GAAP measures is included in today's press release. 
 And with that, let me turn the call over to Mark Adams, CEO. Mark? 
Mark Adams: Thanks, Suzanne. Throughout fiscal 2022, we continued to transform SGH into a diversified, profitable company committed to growth and attractive long-term shareholder returns. During our FY '22, we achieved strong results and accomplished a number of key milestones despite a challenging macroeconomic climate. 
 Our fiscal '22 achievements included record annual revenues of $1.8 billion, record gross margins of 24.9% on a GAAP basis and 25.9% on a non-GAAP basis, record annual adjusted EBITDA of $263 million and record annual non-GAAP earnings of $3.62 per share. And now looking back over the past 2 years, we have grown the top line by over 60%, expanded non-GAAP gross margins by 610 basis points, increased adjusted EBITDA by over 150% and grown non-GAAP earnings per share by over 175%. In addition, we completed our acquisition of Stratus Technologies just after our fiscal year-end, better positioning the IPS Group for continued growth in the years ahead. 
 Now let me turn to the fourth quarter. SGH concluded fiscal 2022 with fourth quarter key financial metrics at or above the midpoint of our guidance. Fourth quarter revenues totaled $438 million, and non-GAAP gross margins came in at 24.6%. These results, combined with strong operating discipline and our share repurchase program, resulted in non-GAAP earnings of $0.80 per share, which exceeded the upper end of our guidance range. 
 Let me turn to a brief review of each of our businesses, starting with IPS. Revenue came in at a record $145 million for the fourth quarter, up 52% sequentially and up 48% from the year ago quarter. New project rollouts were a major contributor to our revenue growth in the quarter. Despite the increased hardware shipments from these new installations, service revenues were up 11% in Q4 when compared to Q4 fiscal year '21. On a year-over-year basis, services grew 59% in fiscal year 2022 when compared to FY '21. 
 Services continues to be an exciting growth area for IPS. After designing and implementing an HPC solution, IPS offers additional value-added services to meet our customers' individualized needs, including system management; development and operations, or DevOps; and HPC AI optimization. These offerings demonstrate the differentiated value proposition we offer to our customers. What's more, a large portion of our services revenues for Penguin are based on longer-term multiyear engagements that deliver more predictable revenue and higher margins. 
 The market has taken notice of IPS' success, and we continue to garner industry recognition. This past quarter, Scientific Computing World highlighted Penguin Computing's cloud technology practice as part of a feature on cloud technologies available to researchers that use HPC. Heading into our first half of the year, we see continued strong demand across our IPS customer base. As we have mentioned on prior calls, IPS has traditionally been a somewhat lumpy business. And as a result, we will continue to monitor customer demand signals as we look further out into Q1 and into Q2. 
 With the addition of Stratus, IPS is equipped with advanced high-availability and fall-tolerant capabilities that will expand our future IPS offerings and allow us to more comprehensively address our customers' needs. 
 Now turning to our LED Solutions Group. Cree LED faced strong headwinds in China with COVID-related policies contributing to supply chain constraints and impacting demand. Revenue totaled $83 million in the fourth quarter. Our business continues to be soft in China, and we are also seeing demand weakness in the U.S. and Europe. As such, we expect to see a sequential decrease in the LED business in Q1. 
 The key target markets for our LED business remains specialty high-value applications, such as entertainment and horticulture; premium video applications, such as fine pitch outdoor lighting designs; and high-performance general lighting applications, such as architectural and street lighting. Cree remains a technology and brand leader in the high-performance LED space, and we are confident in the long-term operating performance of the LED business as macro headwinds subside. 
 In our Memory Solutions Group operating under the SMART Modular brand, revenue came in at $210 million. We saw strong demand for our core specialty memory offerings, such as DDR3, DDR4 and flash memory products from OEM customers in networking telecom, enterprise computing and storage segments. In the networking and storage markets, we are seeing an increased level of activity for our PCIe, NVMe, SSD products. In particular, design-ins are increasing for our SATA SSDs. We are also seeing strong design activity for specialty DRAM products spanning legacy technologies, such as DDR3 and DDR4; to newer technologies, such as DDR5; and compute XpressLink commonly referred to as CXL. Additionally, on the DDR5 front, we are seeing strong customer interest for specialty form factors. 
 The strength of Specialty Memory partially offset continued headwinds in Brazil. The Brazilian smartphone and PC consumer markets were weaker in the fourth quarter, as anticipated and communicated on our last call. That said, we remain disciplined in our approach to introducing new products that meet the market demand, such as uMCPs, DDR5 modules and Gen 4 SSDs while managing our operating expenses and capital expenditures in order to continue generating positive free cash flows from our Brazil operations. 
 Longer-term market trends remain favorable to our memory business overall with data center proliferation supporting AI and machine learning application growth, industry migration to DDR5 and an increasing SSD attach rate in our Brazil business, all providing us with the foundation for longer-term growth as we capitalize on core competencies of engineering, manufacturing and service to develop differentiated solutions for our valued customers. 
 Now I'd like to take a step back and share some corporate level news with you as we look ahead into fiscal 2023. First, I would like to officially welcome the Stratus team who joined us when the acquisition closed at the end of August. In fact, we are conducting this earnings call from the Stratus headquarters in Maynard, Massachusetts to celebrate this important milestone with the team in person. I'd also like to welcome Mark Papermaster, Chief Technology Officer at AMD, who joined our Board of Directors on August 22. We are thrilled to have Mark join the SGH Board. With his 35-plus years of engineering and technology industry experience, Mark will be instrumental in helping to guide SGH as we continue our transformation and growth in the key markets such as AI, machine learning, data analytics, cloud and high-performance computing. 
 Finally, I'm very proud to announce SGH's commitment to achieving net-zero Scope 1 and 2 emissions by 2030. You can read about this commitment as well as other environmental, social and governance efforts in our second annual ESG report, which will be available on our website in the coming weeks. 
 And now I'll hand it over to Ken for a more detailed review of our Q4 financial performance and our guidance for next quarter. Ken? 
Ken Rizvi: Thanks, Mark. I will focus my remarks on our non-GAAP results, which are reconciled to GAAP in our earnings release tables. Now let me turn to our results for our fiscal 2022 full year and fourth quarter results. As Mark shared earlier, we had another strong year of performance. Overall revenues for fiscal 2022 were up 21% to a record $1.82 billion driven by strong execution across all of our businesses. Intelligent Platform Solutions grew by 28% on a year-over-year basis to a record $441 million. This is on top of the 30% sequential growth in the previous fiscal year. 
 Memory Solutions grew by approximately 5% on a year-over-year basis to $975 million driven by strong growth in our Specialty Memory business. And LED Solutions contributed approximately $403 million in sales during our fiscal 2022, our first full year result with this business. Non-GAAP gross margin in fiscal 2022 was up approximately 370 basis points to 25.9% from 22.2% in the prior year driven by margin improvements across all 3 of our segments. 
 For fiscal 2022, non-GAAP diluted earnings per share were a record $3.62, up from $2.61 in fiscal 2021. And adjusted EBITDA was a record $263 million, up from $188 million in fiscal 2021. In addition, we exited the year with a strong balance sheet, including year-end cash balance of $363 million as well as prudent leverage. 
 Now let me turn to our fourth quarter results. Despite the macroeconomic headwinds, we reported a strong quarter of results, helped by the diversification of our business and the strength of our IPS segment. Net sales were $438 million. Non-GAAP gross margin came in at 24.6%, at the midpoint of our guidance range. And non-GAAP diluted earnings per share were $0.80 for the fourth quarter, above the high end of our guidance range. Our earnings per share were higher than the midpoint of our guidance in part due to better operating expense management, lower taxes and lower shares helped by our share repurchases during the quarter. 
 Fourth quarter revenue by business unit was as follows: IPS had $145 million in sales, LED had $83 million in sales, and memory had $210 million in sales. This translates into a sales mix of 33% for IPS, 19% for LED and 48% for memory. Non-GAAP gross margin for SGH in the fourth quarter of 2022 was 24.6%, down from 26.4% in the year ago quarter, primarily driven by lower sales from LED. Non-GAAP operating expenses for the fourth quarter were $61.1 million, up from $57 million in the fourth quarter of 2021. 
 Operating expenses were up primarily due to the continued investments in our businesses as well as a reduction from financial credit in Brazil. Operating expenses benefited in the fourth quarter of 2022 from $2 million in financial credits in Brazil, which was down from $3.3 million in the third quarter and $7.8 million in the fourth quarter of 2021. This credit is expected to provide approximately $2 million of benefit in our first quarter of fiscal 2023. 
 Non-GAAP diluted earnings per share for the fourth quarter of 2022 was $0.80 per share compared with $1.08 per share in the year ago quarter. And adjusted EBITDA for the fourth quarter was $56 million or 13% of sales compared to $76 million or 16% of sales in the year ago quarter. 
 And now turning to working capital. Our net accounts receivable totaled $410 million compared with $357 million last quarter. Days sales outstanding came in at 47 days, up 16 days from the last quarter, primarily due to the timing of IPS shipments. And inventory totaled $323 million at the end of the fourth quarter, down from $365 million at the end of the prior quarter. This decline was primarily driven by lower inventory for IPS. We would expect an increase in inventories in the first quarter due to the timing of builds to support second quarter IPS revenues. 
 Inventory turns were 8.5x in the fourth quarter versus 10.1x in the prior quarter. And consistent with past practice, accounts receivable, days sales outstanding and inventory turnover are calculated on a gross sales and cost of goods sold basis, which were $789 million and $685 million, respectively, for the fourth quarter. As a reminder, the difference between gross revenue and net sales is related to our logistics services business, which is accounted for on an agent basis, meaning that we only recognize the net profit on logistics services as net sales. 
 Cash and equivalents totaled $363 million at the end of the fourth quarter compared with $387 million at the end of the prior quarter. Fourth quarter cash flow from operations totaled $20.9 million compared with $36.7 million in the prior quarter. In the fourth quarter, we repurchased 2.2 million shares, spending approximately $40 million during the quarter under our $75 million share repurchase authorization. 
 And for those of you tracking capital expenditures and depreciation, capital expenditures were $8.9 million in the fourth quarter and depreciation was $10.8 million. For 2022, we spent approximately $38 million in capital expenditures. Our overall capital allocation strategy is as follows. First and foremost, we will continue to invest in our business as we see significant opportunities for further organic growth in each of our 3 business segments while maintaining a strong balance sheet and prudent leverage. Second, we will continue to review and seek acquisition opportunities such as Stratus for further scale and diversification in a disciplined manner. 
 Third, capital return via share repurchases provides us flexibility to return capital in an opportunistic and price-sensitive manner. For 2023, an additional focus area will be to use excess cash flow to retire debt. 
 Prior to turning to our first quarter guidance, let me update you on our recently closed acquisition of Stratus, a global provider of high-availability, fault-tolerant solutions for the data center and at the edge. The acquisition expands our capabilities and aligns with our growth and diversification strategy. We closed the acquisition in the beginning of our fiscal 2023 for $225 million and will incorporate the results from the first quarter of fiscal 2023. 
 From a financial standpoint, Stratus fits well within our acquisition framework. It is expected to add more than $150 million of annual revenues, improves our overall non-GAAP gross margins and is immediately accretive to our non-GAAP EPS. In conjunction with the acquisition, we also expanded our existing term loan credit facilities by $300 million. We used the net proceeds to retire the $101.8 million outstanding under the Cree earn-out note and along with cash on hand, paid for the $225 million purchase of Stratus. 
 The Term Loan A facility bears an interest of SOFR plus 2% based on a total leverage grid. With this larger facility and inclusive of our convertible notes, we would expect our total net interest to be approximately $8 million a quarter based on current SOFR rates. 
 Now let me turn to our first quarter 2023 guidance. We expect that net sales for the first quarter of fiscal 2023 will range from approximately $425 million to $475 million or approximately $450 million at the midpoint. Our guidance incorporates the continued strong demand in our IPS business, including approximately $35 million to $40 million of revenue expected from Stratus, but is offset by macroeconomic headwinds impacting our LED business and our memory business in Brazil. 
 Our GAAP gross margin for the first quarter is expected to be approximately 24.5% to 26.5%. Non-GAAP gross margin for the first quarter is expected to be approximately 25.5% to 27.5%, up sequentially primarily due to the incorporation of Stratus. Our non-GAAP operating expenses for the first quarter are expected to be approximately $75 million plus or minus $3 million and up approximately $14 million sequentially, primarily due to the incorporation of Stratus. GAAP diluted earnings per share for the first quarter is expected to be approximately $0.14 plus or minus $0.15. 
 On a non-GAAP basis, excluding share-based compensation expense, intangible asset amortization expense, debt discount and other adjustments, we expect diluted earnings per share will be approximately $0.60 plus or minus $0.15. Our GAAP and non-GAAP diluted share count for the first quarter is expected to be approximately 51 million shares based on our current stock price. Cash capital expenditures for the first quarter are expected to be in the range of $12 million to $15 million and approximately $50 million to $60 million for fiscal 2023, in part due to the migration of Cree into its own facility. 
 Our outlook incorporates the effects of the company's recent acquisition of Stratus. However, we have not completed our purchase accounting and assessment of the fair values of the assets and liabilities, and therefore, our GAAP outlook does not reflect this impact. In addition, I wanted to share an expected change to our upcoming reporting, which will result in an expected $2 million per-quarter benefit for fiscal 2023, and this is incorporated into our guidance. 
 We periodically evaluate planned technology transitions, capital spending and reuse rates for our assets. In September 2022, we completed a preliminary assessment of our manufacturing equipment. And based on that assessment, we anticipate increasing the estimated useful lives of such equipment from 5 to 8 years beginning in the first quarter of fiscal 2023. 
 Our forecast for the first quarter of fiscal 2023 is based on the current environment, which contemplates the global macroeconomic headwinds and continued supply chain constraints. Please refer to the non-GAAP financial information section and reconciliation of GAAP to non-GAAP measures table in our earnings release for further details. 
 Now let me turn it over to Mark for a few remarks prior to Q&A. 
Mark Adams: Thanks, Ken. As we enter fiscal year 2023, I remain excited about the long-term future at SGH. We are well positioned to excel in our key focus areas of AI, machine learning, data analytics, HPC, data center cloud and advanced lighting solutions. Our commitment to strong execution, combined with our capital-light model, give me confidence that we will be able to navigate the broader market headwinds that most, if not all, companies are facing. 
 In the short term, we will manage our spending appropriately, maximizing free cash flow generation. The secular demands for our differentiated solutions continue to grow, and we remain committed to developing innovative solutions for our customers and creating long-term value for our shareholders. 
 Operator, we are now ready for Q&A. 
Operator: [Operator Instructions] Our first question comes from the line of Brian Chin with Stifel. 
Brian Chin: Congratulations on the August quarter results in this tough environment. Maybe since I'm bang leadoff, first question, I guess I'm obliged to ask sort of in your November quarter guidance, is sort of the implicit guide by segment sort of maybe like a mid-single-digit decline in memory, maybe flat to down IPS prior to the acquisition and LED down kind of 10%? Is that sort of right apples-to-apples way to think about? 
Ken Rizvi: Yes. So Brian, thanks for the question and thanks for your comments. I would say if we look at Q1 and implicit in our guide is actually we're expecting to see a bit more decline in our LED business, and that's a result of the current macro headwinds we're seeing in China and also a little bit slower demand here in the U.S. and in Europe. 
 In addition, I would say, for the LED business, our expectation is that the distributors will be burning through some inventory. So our sell-in will be lower than the sell-through at disti, and that's part of the reason for the decline. So I would actually anticipate that business being down potentially 20% or a bit more sequentially from Q4, and then you can gauge what the other businesses are doing. 
Brian Chin: Got it. Got it. So I guess maybe that's the place to follow up. Since you acquired this out of Cree, this has been -- probably, this has been the first dip you've seen in terms of revenue in that business. Where is the break-even revenue on a quarterly or annualized basis for the LED business? I imagine maybe you're kind of touching it in the November quarter. 
 And I guess to that end, I mean, you're trying to clean up the inventory, I guess, that maybe had accumulated in the channel there. Do you know how many quarters you expect that to take place? And any visibility in terms of when the sell-through of the shipment can match sort of sell-out and whether sell-out is also stabilizing? 
Ken Rizvi: Yes. So maybe -- a couple of questions in there, Brian. So let me see if I address -- I can address them all. So I'd say, first and foremost, if you looked at the disti inventory, I wouldn't say it's as much of a build up of inventory that occurred. But what we are seeing with some of our disti customers is they are trying to lean on the working capital and lean out their inventories given the macro uncertainty.
 And question number two and so when is that going to clear up? It's a little uncertain given the visibility we have. But I would expect, based on today and today's environment, as we move through Q2 and into Q3, we should be clear and the shipments in should start to equal the shipments out, but early to tell that for certain. And obviously, we'll provide you more color as we move through the quarters.
 If we looked from an overall profitability standpoint, you are correct. As we look at Q1, that business is close to breakeven on an op income basis, although if you include the DA, still profitable to us. And that's where we'll look to see how we can optimize some of the expenses there to make sure that in the near term, we generate positive cash flow. And then as that business recovers -- because this is very much macro-driven versus any specific product concerns. So as the macro returns, hopefully, as we move into the back half of this fiscal year and fiscal '24, then it should start to return to a more profitable state for the LED business. 
Brian Chin: Got it. And just to get away from this topic and before I hop off. Just on Stratus given the closing of the deal, is it fair to say that there's -- between the 2 companies, there's a low degree of customer overlap but a high degree of vertical market overlap? And also given the earlier close of that acquisition and the necessary integration process, how long, 6 months, 12 months, do you foresee before we start to see sort of a positive impact in terms of cross-selling synergies? 
Mark Adams: Brian, this is Mark. I think you sized it up correctly. Not a lot of overlapping existing customers today, which we think is a strength in potential revenue synergies out into the future. Some overlap in terms of the vertical markets that we address. And you think about what's interesting right now is that the data center business for IPS is driving a lot of the growth. And with Stratus, it's actually the Edge that's driving a lot of the growth. So not a lot of overlap there in terms of revenues going away.
 So we think from a model standpoint, it's pretty good. Relative to impact on the business and potential upside from revenue synergies and some of the cost opportunities we have, we stated in our last call and are sticking to it, we're thinking somewhere in the 12- to 18-month range. We may see some small wins in the short term, but we think a majority of the impact will be out 12 to 18 months from the time of close or out in the middle of our fiscal year '24. 
Operator: Our next question comes from the line of one Tom O'Malley with Barclays. 
Thomas O'Malley: I just had a -- just a follow-up on the gross margin profile in the August quarter. I think you had called out previously that there may be lower software contribution in the quarter, which may have been muting the IPS gross margins. But could you just walk through the puts and takes on each of the segment's margin contribution in the quarter just because you saw a strong IPS, which should help your mix, but you saw gross margins down. Any color on gross margins by segment would be helpful in August. 
Ken Rizvi: Sure. Happy to talk through that at a high level, Tom. so if we look at the overall memory business, if we look sequentially, the margins were reasonably flat. I would say IPS, as we've talked about, given the growth from Q3 to Q4, we outlined on our last call that the -- it would be more hardware-centric, and therefore, the margin percent is down a bit from Q3 levels for IPS. And then for LED, given the reduction in sales from Q3 to Q4 and some of the fixed costs on the back end, the margins are down in that business. So those are the puts and takes, which drove the margins to that 24.6% level in Q4. 
Thomas O'Malley: Okay. And then I just wanted to revisit a prior question. You gave the vector for the LED business in the November quarter. From an organic perspective, is the IPS business up in the November quarter? 
Ken Rizvi: Yes. So I would expect that IPS business to be organically, so that's excluding the Stratus business, should be flat to up a bit here into our Q1 from Q4. And then you can see that the memory business is kind of flattish, flat to down a little bit, but flattish in Q1 as well. 
Thomas O'Malley: Okay. That's helpful. And then just one more, let me sneak in really quick. You did the LED acquisition. I think early on, you guys had talked about $350 million to $400 million a year. There was an effort to improve the gross margin structure and the operating structure of the business. Clearly, there's a headwind in China. But outside of just the implications that you're seeing from an inventory perspective in China, is there a change in customer behavior as it results to a competitive perspective? Are you seeing customers go in a different direction? Or is it really just market weakness given what you're seeing from a COVID and supply chain issue in that region? 
Mark Adams: Tom, it's Mark Adams. It's really the latter to what you talked to relative to the demand profile. As you might be aware, if you've looked at or seen some of the industry structural activity across the board, let's start with consumer devices. LEDs in that world are getting impacted by mobile phone decline globally. Certainly, in terms of construction build and the likes, it's also down. There was a major competitor who announced a restructuring in the quarter. Just a lot is going on.
 And I think Korea is actually very well positioned for scale and continued growth as we kind of dance around the bottom here in the market. I think really good gross margin profile in the business. This type of exercise will get us more efficient as we prepare to go back up. And I'm pretty confident in this business given what's going on with the rest of the market. 
Ken Rizvi: Yes. And Tom, just to highlight as well, when we look at that business, right now, what we're seeing is that distributors are burning through some inventory and trying to lean out given the macro uncertainty. So the end demand is higher than the revenues we're guiding to for LED in Q1.
 Obviously, in this type of environment, that visibility is a bit uncertain as we look out into Q2, Q3. But if we look at history, these periods in terms of inventory burns usually lasts 1 to 3 quarters or so. So as we look into Q2 or into Q3, we would hope that this is behind us and our sell-in will start to match our sell-out. 
Operator: Our next question comes from the line of one Raji Gill with Needham & Company. 
Rajvindra Gill: Just a follow-up on the guide for November, specifically around the gross margin. So just wanted to get a sense of what the gross margin organically ex the Stratus is trending quarter-over-quarter. How do we think about the puts and takes there by the different subsegments? 
Ken Rizvi: Yes. So maybe I'll give it to you, Raji, in aggregate. So what we've said historically is that the Stratus acquisition adds north of 150 basis points on an annual basis to our gross margins on a non-GAAP basis. So given where sales levels are for Q1, it's probably closer to that 200 basis points or even a little bit more there, but in that 200 basis points range here in Q1 given the current sales levels so that you can subtract the 200 basis points to get to where the base business is.
 And it would be similar, as I outlined earlier to Brian, if we look at the segments. I would expect the only change as we look at the segments or the primary change would be LED. The gross margins are expected to be down a little bit here from Q4 to Q1 just because of the fixed cost nature of the back end and the lower sales volume. 
Rajvindra Gill: Got it. Appreciate that. And then just on the November guide with respect to the revenue. So if LED is down 20%-plus sequentially and then you indicated that IPS ex the Stratus will be kind of flat to up, it implies memory -- overall memory will be down something in the order of kind of 4% or so, 4% to 5%. So the question I have is, if we kind of split that between Specialty Memory and Brazil memory, wonder if you could elaborate some of the trends that are going on within each of those segments. Should we expect kind of Brazil to continue to be under pressure given the economy there? Are we seeing any -- kind of any impact on Specialty Memory with respect to the overall drop in memory pricing? Any clarity on those specific segments? 
Mark Adams: Raji, it's Mark. Let me take the first part of that, and I'll let Ken piggyback. Relative to the memory market itself, as we guided on our last call, Brazil has some pretty strong headwinds in the consumer-facing mobile phones and notebook -- desktop, notebook market. And that played out as we had suggested and thought on our last call.
 Now what I would say also is we talked about a specific customer purchasing dynamic in that quarter as well. And what we're starting to see is kind of a bottom there in -- a bounce from the bottom. We think it's probably a stronger -- slightly stronger maybe Q1 in Brazil. And on the enterprise side of memory -- the Specialty Memory business, it's been pretty stable quarter-over-quarter. I'll let Ken give you the particulars, but the demand profile is pretty good.
 Now obviously, you can analyze the announcements from the memory guys in the market, a lot of fluctuation in memory pricing. We don't tend to get hit very hard on the margin side of the memory pricing because our products are priced on a kind of service-level model, if you will. But I would also suggest that units can offset some revenue, but I think especially be kind of flattish in the quarter. I'll let Ken jump in and give you some kind of more particulars. 
Ken Rizvi: Yes. So I would say, Raji, if we looked at that business overall, we have a range on our guidance, as you know, but it can be flat to down at that midpoint level -- down a little bit at the midpoint level. As Mark mentioned, I think if we look at the Brazil business, it did come down here in Q4. It's kind of bouncing at those levels here. And I think the hope is as we move into Q2 and beyond, we start to see a recovery in demand. As -- and then in the specialty business, as Mark highlighted, that's been -- it's essentially at a very similar level as we look back to Q4 versus Q1. 
Rajvindra Gill: Very helpful. And just last question, Ken, if I can, on the OpEx. So the OpEx, certainly going up. I think you mentioned $14 million sequentially, which includes Stratus. So is that kind of the OpEx run rate on a go-forward basis, $75-odd million a quarter? Or should we expect synergies on the OpEx side? Any clarity there would be helpful. 
Ken Rizvi: Yes. So I think as Mark mentioned, I would assume that from a modeling purpose, that's the run rate of the business because we're incorporating Stratus. As Mark mentioned, as we look at the combined business and all of the businesses, one of the areas that we're looking at is making sure we're prudent on the cost structure in our overall cost. But from a modeling purpose, I think that's fair to model in that range as you move through the year. 
Operator: Our next question comes from the line of one Sidney Ho with Deutsche Bank. 
Sidney Ho: My first question is on the IPS side. I think last quarter, you talked about demand trends into the first half of '23 looks pretty good. And then your backlog was close to $500 million, which is 3 to 4x your quarterly run rate. Can you give us an update on how much visibility do you have now? Are you seeing any kind of demand-driven pushout or cancellations? And maybe directionally how the backlog has done, I guess, excluding Stratus? 
Mark Adams: Sure. Sidney, this is Mark. Let me just talk to the first part of that, which is the demand trends for our first half of the year. I would say that nothing has changed since we last talked in -- on the earnings call in Q3. The backlog remains very strong, and the implicit guide in Q1 suggests that it's still very strong for us. So generally, still very bullish on IPS.
 Now can we see out into Q2 and can something push in Q2? Sure. We haven't seen that yet. But I would also say that my belief is that the type of systems that we're implementing with our customers are very strategic in nature. And our belief is that over time, these systems are not about short-term cost-cutting activities in these larger enterprises we serve. So I'm of the belief that people will invest through the cycle. And these are the types of systems that we're installing, these AI machine learning systems, for tomorrow's enterprise, so to speak.
 So we're optimistic that will play out that way. We haven't seen an ounce of any reduction in orders or backlog relative to the front half of our year. And I just can't call Q3 and beyond at this point. 
Sidney Ho: Okay. That's helpful. Maybe staying with the IPS. If you look at the services, if my math is right, I understand it's up 11% year-over-year, up like 59% for the full year. But it is down quite a bit from the Q3 level. If my math is right, it's somewhere in the 15% ranges of IPS services for the quarter. Just curious why that -- in absolute dollar that, that number can actually go down. So as -- in other words, is fiscal Q3 more like an anomaly where fiscal 4Q is kind of right -- the right run rate going forward? 
Ken Rizvi: Yes. So it's a good question, Sidney. So when we talked about last quarter, we did say there were some quarter-specific implementation and other services that occurred in quarter. And this ties just to the nature of the overall business. There is some lumpiness and variability quarter-to-quarter. And so we tried to outline that on our last call that we had some items that were specific to that quarter in terms of implementation and other specific services that we generated with our customers.
 If you look at this quarter, in Q4, we talked about kind of low-20s type of services. And I think what is important in that number, however, is that there's a larger portion of those services that are based on longer-term engagements. So we have visibility as we look out 12 months on a quarterly basis, we have visibility. And I think that's where I know Thierry and the Penguin team and the IPS team are driving is to have further engagement, better visibility, more long-term visibility. And that complements very much what Stratus is doing with their services business.
 So I think as we look into 2023, we're going to have a very good services year, especially inclusive of the Stratus business. My guess is that services component for the both businesses on a combined basis should be well north of $150 million, which is good news in terms of visibility, good news in terms of margin and good news in terms of cash flow to the overall business. 
Sidney Ho: That's super helpful. If I can squeeze in one more, just a housekeeping one. Given how the specialty memory versus Brazil memory, they have different trends over the last couple of quarters. What portion of the Memory Solutions business is now coming from Specialty Memory? And that's it for me. 
Ken Rizvi: Yes. We didn't break that out specifically. But if I looked at the specialty business, it is much larger than the Brazil business today, if I looked at both Q4 and I looked at what we're expecting here in Q1. So overall, we talked about that business doing about $210 million Q4. And if you looked at what it did in Q3, call it, $266 million, the vast majority of that delta from Q3 to Q4 was around the Brazil business. The specialty business did come down a little bit, but now it's kind of flattening out at that level. So Brazil has been the largest headwind in the memory side. 
Operator: [Operator Instructions] Our next question comes from the line of one Kevin Cassidy of Rosenblatt Securities. 
Kevin Cassidy: My question is more around the number of RFQs you're getting for the IPS business. Has there been a change since all this discussion around the recession coming or maybe here already? Are you seeing any companies pulling back on their CapEx or -- and even comments around both private and public side as far as new RFQs coming out? 
Mark Adams: Kevin, this is Mark. I -- at this point, we have not seen anything noticeable in terms of the activity, the funnel building at IPS. Actually, I would say that we're seeing more opportunities. Remember, by the way, these cycles are 6 to 12 months at a minimum in terms of replying to an RFQ to getting a commitment in some cases. And so it's not surprising that we haven't seen that. Actually, our funnel continues to grow.
 And we're also -- as I've talked about on prior calls, we're not in the hardware-only business at IPS. And so we're pretty selective in terms of the type of opportunities we want to bid on because we want to make sure we're getting paid for the value we create, and the services and the overall integration of hardware, software and services is something that we're just going to stay disciplined to. So even in that sense, we still are seeing a lot of healthy funnel-building activities.
 And I would say the commercial side has been relatively strong. And then at the federal side, we just haven't seen anything pull back because actually, when you think about the federal piece of the business, commitments on this year are kind of pretty much locked up, and shipments are already scheduled in that part of the business. And so next year, people are business as usual. They don't know what next year's spending will or will not be. So the federal side is still very active as well. 
Kevin Cassidy: Okay. Great. And how about the supply chain for IPS? A few quarters ago, there was all types of bottlenecks. Can you give some comments on what you're seeing in the supply chain? 
Mark Adams: Yes. I think we're not out of the woods yet on supply chain. Now what's interesting is, and I think I've talked about this on a prior call, we are seeing sectors in the supply chain that are demand-driven recovery, which is not exactly what we want, i.e. memory. And yet there's other parts of the ecosystem, other technologies that we integrate and manufacture our systems with that are still tight.
 So it's a bit of a hybrid or a mix, where some industries have loosened up a bit and some have not, and we're still day-to-day. And of course, it's kind of like the least common denominator we needed all to kind of line up. And so our teams are working diligently to make sure we're able to navigate that and our guide implies that. But still not out of the woods yet on the supply chain. 
Operator: And with that, we have exhausted all questions in the queue. So now I would like to pass the conference over to Mark Adams, CEO, for any closing remarks. 
Mark Adams: Thank you, operator, and thank you all again for joining today. After a record fiscal year 2022, we are excited about our future at SGH with a mindful eye on the current market headwinds. We will remain vigilant in how we operate the company to balance our investment for long-term success while being prudent in our spending in the near term. 
Operator: And with that, we will conclude today's SGH Fourth Quarter Fiscal 2022 Earnings Call. Thank you for your participation. You may now disconnect your lines.